Operator: Hello, and welcome to the P10 Fourth Quarter and Year-end 2022 Conference Call. My name is Daniel, and I will be coordinating your call today. [Operator Instructions]. I will now hand the conference over to our host, Mark Hood, Executive Vice President of Operations and Investor Relations. Mark, please go ahead. 
Mark Hood: Good afternoon, and welcome to the P10 Fourth Quarter and Year-End 2022 Conference Call. This is Mark Hood, EVP of Operations and Investor Relations. Today, we will be joined by Robert Alpert, Chairman and Co-CEO; Clark Webb, Co-CEO; Fritz Souder, Chief Operating Officer; and Amanda Coussens, Chief Financial Officer.  Before we begin, I'd like to remind everyone that this conference call, as well as the presentation slides, may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934 and the Private Securities Litigation Reform Act of 1995.  Forward-looking statements reflect management's current plans, estimates and expectations and are inherently uncertain. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors that are described in greater detail under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2021, and filed with the SEC on March 21, 2022, and in our subsequent reports filed with the SEC from time to time.  Forward-looking statements included are made only as of the date hereof. We undertake no obligation to update or revise any forward-looking statements as a result of new information or future events, except as otherwise required by law.  I will now turn the call over to Robert. 
Robert Alpert: Good afternoon, and thank you for joining the call. In a year dominated by shifting and more challenging macroeconomic backdrop, P10 delivered double-digit growth and strong fourth quarter and full year 2022 profitability. Driven by an expanding and diverse set of strategies with long track records of investing through a variety of market cycles, we strengthened our position as the premier specialized private markets solution provider in the middle and lower middle market.  For 2022, fee-paying AUM increased 23%. Revenues increased 32% and adjusted EBITDA increased 29%. Besides delivering noteworthy financial performance, P10 completed the acquisition of WTI, a clear market leader in the growing venture debt space.  We have much to be thankful for as we reflect on the year's achievements. As we consider 2023, we want to reaffirm our previous fundraising guidance, which results in expected double-digit revenue and profit growth. Amanda will share more about this later in the call.  One more thing I want to mention is that on December 27, 2022, we announced an additional $20 million stock buyback. In the fourth quarter, we found our stock undervalued and purchased 1,946,765 shares at an average price of $9.62. We will continue to seek opportunities to deploy our free cash flow to augment shareholder returns.  I will now hand the call over to Fritz. 
William Souder: Thank you, Robert. Despite macro headwinds in volatile public markets, we're staying in front of our LPs and GPs, deepening our relationships with them and listening for ways to continue to add value. Experience has taught us that during times of market uncertainty, investors may take longer to make allocation decisions and some fund closings may stretch out of it. However, it is important to remember a few driving factors that support our confident outlook.  First, I think many of our LPs understand the value of vintage diversity, especially as it relates to our private equity and venture capital strategies. With long track records and excellent returns, we rely on a time-tested and disciplined investment process.  Secondly, as we have entered the new year, we're seeing LPs generally more positive about their 2023 allocations. Some of this is related to the simple fact that 2022 is in the rearview mirror. And some of the optimism may be due to the reduction of the denominator effect as a result of the public markets lifting over the past few months.  Finally, remember the catch-up fees are earned from investors that commit during the fundraising period of funds originally launched in prior periods. So a late fund allocation is not lost revenue, rather it is revenue realized in a later period.  On the deployment side, we are selective and opportunistic in this current environment. Our GP stakes, NAV lending, venture debt and credit products, all benefit from a disciplined investment approach and can thrive in the current market. All of this gives us confidence in our ability to deliver continued organic growth.  For 2023, we expect to have over a dozen funds in the market with cyclical and countercyclical products available to LPs to meet their investment objectives. We built solution lineup to surround GPs with market-leading products, ranging from credit to NAV lending and GP stakes. It means we have multiple ways to add value for existing clients while creating market space with new ones.  As we think about the timing of expected fund launches, closes and deployments, this year's fee-paying AUM growth is likely more skewed to the second half of 2023. Over the past year, we have observed that LPs appear to favor more established managers, which we believe gives us advantage over our competitors. This benefit, coupled with terrific returns which you will see in our public filings, demonstrates that we are well positioned for continued growth.  I will now turn the call over to Clark. 
Clark Webb: Thank you, Fritz. As we reflect on 2022, it's an excellent time to remind shareholders why we believe we have a superior business model that uniquely positions P10 to take advantage of the secular tailwinds supporting private market demand. First and foremost, our business model is built upon long-term investment returns in asset classes that are difficult to access.  With the P10 investment engine now covering lower and middle market private equity and private credit, venture equity and venture credit, middle market impact equity and impact credit and all supported by the leading lower middle market GP stakes franchise, we believe our investment engine is second to none. Across our traditional fund series alone, we have over a dozen strategies across 8 asset classes, with many flagship funds having a track record measured in multiple decades.  At RCP, for example, we expect to launch Fund XVIII sometime in 2023. In short, we do not believe there is another investment manager out there offering institutional scale access to our verticals with the kind of long-term investment performance we exhibit.  Next, we believe the P10 alignment is truly unique. We believe in a win-win-win: a win for P10 Fund LPs, a win for P10 shareholders and a win for P10 employees. As it relates to our LPs, our investment professionals personally put up the vast majority of the required GP commit and received virtually all of the carried interest. As it relates to stockholders, P10 insiders own more than 55% of the shares outstanding, and are committed to the long-term investment success of each strategy, given our significant GP co-investment and expected carried interest. And for P10 employees, we believe our platform is unique as evidenced by the unbanked off-market acquisitions of leading investment managers over the last 7 years at what we believe are meaningfully lower multiples than other public transactions.  Finally, the combination of our investment manufacturing and peer-leading alignment results in a business model that we believe is second to none. Virtually all of our earnings are fee-related earnings with little tax leakage and no meaningful reinvestment requirements.  In a year where many of our peers expect distributable earnings to decline and some meaningfully from 2021 levels, we expect double-digit growth in revenues, adjusted EBITDA and adjusted ANI.  As a result of the confidence we have in our business model and our robust free cash generation, we have been taking advantage of the market sell-off to purchase P10 stock at what we believe is a material discount to intrinsic value. We believe shares purchased at recent levels will prove an excellent return on deployed capital over time.  With that, let me hand the call over to Amanda. 
Amanda Coussens: Thank you, Clark. Fee-paying assets under management were $21.2 billion, a 23% increase on a year-over-year basis. In the fourth quarter, $645 million of fundraising and capital deployment was offset by $89 million in stepdowns and expirations. For the first half of 2023, we expect $1.1 billion in stepdowns and expirations. This includes WTI's Fund VII which steps down in Q1. For the second half of 2023, we expect an additional $150 million. Stepdowns and expirations are a normal part of our business and typically take place at the end of a fund's life or when a fund has reduced fees after a period of full fees.  Revenue in the fourth quarter was $58 million, a 28% increase over the fourth quarter of 2021. Year-over-year revenue increased from $151 million to $198 million for a 32% increase. Average fee rate in the fourth quarter was 115 basis points as the combination of WTI's higher fee rates on fee-paying AUM coincided with additional closings and our higher fee strategies during the quarter. We expect 2023 fee rate to normalize to 105 basis points as WTI's Fund VII rolls off and we have consistent closings across all of our strategies.  Operating expenses in the fourth quarter were $53 million, a 57% increase over the same period a year ago. The increase was primarily driven by additional compensation and benefits and noncash stock-based compensation expense related to the acquisitions of WTI, Bonaccord and Hark. For 2022, operating expenses were $155 million, a 41% increase over 2021. The fourth quarter was our first with WTI operating expenses consolidated in our financial reporting.  GAAP net income in the fourth quarter was $5 million, a 221% increase when compared to the year-ago period. The difference is primarily attributable to double-digit revenue growth and a reduction in interest expense. On a year-over-year basis, GAAP net income increased from $11 million to $29 million, a 173% increase. Adjusted EBITDA in the fourth quarter was $31 million, a 17% increase over what we reported in the fourth quarter of 2021. For the year, adjusted EBITDA grew from $83 million to $107 million, a 29% increase.  We believe adjusted EBITDA growth of 29% in an otherwise difficult macro environment reflects the strength and durability of our business model. For the quarter, our adjusted EBITDA margin was 53%, and for the full year, it was 54% as WTI operates at a lower margin than the average of our other strategies.  For 2023, when you take into consideration our implied WTI guidance that we provided last August, with Fund VII rolling off, we expect the combined P10 and WTI adjusted EBITDA margins to equate between 51% and 52%. This margin guidance reflects the full integration of WTI into the pre-existing P10 business model and the continued strong growth of our direct strategies which can carry a lower margin as they scale.  We expect to maintain strong margins in 2023 while still hitting our $5 billion gross AUM goal and growing revenue, adjusted EBITDA and adjusted ANI at double-digit rates on a year-over-year basis. Again, we believe double-digit expected growth should compare favorably to peers in a difficult environment.  For the fourth quarter, adjusted net income, or ANI, was $27 million, a 24% increase over the $22 million reported in the fourth quarter of 2021. For the year, ANI increased from $63 million to $98 million for a 56% increase. Fully diluted ANI EPS on a year-over-year basis grew 43% to $0.80 per share, which puts us in the highest echelon of publicly traded asset managers.  We continue to efficiently convert $1 of adjusted EBITDA to adjusted net income due to small amounts of capital expenditures, cash interest and minimal tax leakage due to our tax assets. As a reminder, our tax assets are composed of 2 distinct assets: a $177 million net operating loss and $397 million in tax amortization.  If you review our financial statements we posted today, you will note some additional state tax paid in the period. As we have expanded our footprint to California and New York, we expect to have about $4 million annually in state cash tax obligations.  Cash and cash equivalents at the end of the fourth quarter were $20 million. At year-end, we had an outstanding debt balance of $293 million and $82 million available on the current credit facility. We also repurchased 1,946,765 shares of P10 stock in the fourth quarter.  For 2022, we have repurchased 2,088,057 shares at an average price of $9.68 per share. We believe this represents an accretive use of capital given our view of the intrinsic value of the P10 franchise.  We also continue to pay our quarterly dividend of $0.03 per share for Class A and Class B common stock. We have declared a dividend of $0.03 per share payable on March 31, 2023, to stockholders of record as of the close of business on March 16, 2023.  Finally, at December 31, 2022, our Class A shares outstanding were 42,365,266 and Class B shares outstanding were 73,008,374 shares.  I will now pass the call back to Robert for closing remarks. 
Robert Alpert: Thank you, Amanda. Now let's turn it over to the operator for a few questions. 
Operator: [Operator Instructions]. The first question comes from the line of Michael Cyprys of Morgan Stanley.
Unidentified Analyst: It's Stuart here standing in for Mike. If I could just ask about fundraising really quickly. Could you just describe to us what you're hearing? I heard the -- I guess, the better mood music for '23. Which strategies, in particular, are resonating? Which strategies are [indiscernible] a bit more cautious on? And generally, what's been the reception you're getting when you walk into these meetings? 
Clark Webb: Absolutely. Thanks for the question. Yes, so I would say a couple of things. First of all, we had a great Q4. It was not an easy Q4 as you can hear from many of our peers, but we still raised a good amount of capital, and it was actually very evenly spread across most of our strategies. So we are continuing to see nice interest in every single one of our strategies.  We do have the benefit of having some strategies that are seen as more countercyclical. I would call out some of our credit strategies in particular. And so we do believe that we are getting the benefit of being able to lean in with some of our credit strategies.  And then we have many that we feel like are just in a structural growth mode. I think folks have seen the success of our larger peers in GP stakes and how that business continues to institutionalize. And as everyone sees from the recent announcements, we think Bonaccord is the premier franchise in lower middle market GP stakes. And as such, given how large that market is, we continue to expect continuing interest there.  So again, we built P10 with the opportunity to invest both in equity and credit across multiple asset classes. We have the benefit of being in the market with more than a dozen strategies. And I wouldn't say that one significantly outperforms the others. They're all gathering a significant amount of interest. But in particular, we have some of those countercyclical strategies and we have our GP stakes, which certainly is generating some nice interest. 
Unidentified Analyst: Great. And if I could just follow up with a question about Crossroads. I wondered if we can get an update there. I know it's been a little while since we talked about that. So anything you can share incremental? 
Clark Webb: Yes, we don't want to get out ahead of Crossroads. It is a listed company, and so we certainly won't share any material nonpublic news. That being said, I think what has been put out there is this is a relationship that has now generated a few hundred million dollars of fee-earning assets, and it is really proving the strength of the enhanced origination machine.  And so I would certainly direct questions to Crossroads, but given where we started 18 months ago with a clean slate, now having hundreds of millions of dollars deployed at what we think are great returns, great risk-adjusted returns and really importantly, the impact that this portfolio generates, we think, is second to none. We are thrilled with how that's going. 
Operator: The next question comes from Adam Beatty of UBS. 
Adam Beatty: Just wanted to circle back on fundraising, maybe from a little bit of a different angle. Fritz talked a little bit about kind of the denominator effect may be going away at this point.  So I just wanted to get your sense on, I know you've got a large number of LPs and potential LPs, so it may be difficult to generalize. But if you could, just in terms of the public markets and that backdrop, is flat from here combined with some reallocation, maybe a pause last year from LPs, is that enough to really offset that denominator effect, do you think, by middle or end of this year? Or do we need a little bit more of a market rally from here? 
William Souder: Yes, this is Fritz. I'll start it and then guys, jump in. But as you said, I think we've seen some pretty good movement here early in 2023. And so there's a clean slate for most of our institutional LPs to reinvest into '23. We definitely ran into some over-allocations in '22 towards the end of the year where they had to push us off to '23, where they had money to reinvest again.  Whether we need uplift in the public markets to continue, it would be nice, certainly. But I do think that most of the clients that we're engaged with right now and talking to about investing in all of our sectors in '23, there seems to be a pretty clean slate, and I think you will see us continue. We've given the guidance of where we think we can be by the end of '23, and we're fairly confident that we will hit that guidance. 
Robert Alpert: Yes. No, I think Fritz has -- yes, I think Fritz has nailed it. It's never easy to raise capital even in the best of times. But with our strategies and our track records and the ability to raise capital across or through over a dozen different opportunity sets out there, we feel confident we ought to be able to make our fundraising numbers. 
Adam Beatty: That sounds pretty good. And then if I could, just a quick follow-up on some of your strategies that are geared towards sort of LP liquidity, thinking of secondaries and maybe NAV lending? And just how much of a tailwind you might be seeing in the current environment for those types of strategies? 
Clark Webb: Yes. I would say, in secondaries, the market was very GP-led secondary-focused over the last couple of years. And obviously, with the market downdraft, everyone is waiting for those 12/31 valuations. We expect to see more traditional LP-led secondaries in 2023. And thankfully, we've got a lot of dry powder in our fourth secondary fund and raising more. So we feel like we're going to be well positioned to take advantage of that. It does feel like that's more of a back half of the year than a front half of the year, but we are certainly starting to see that trickle out.  On the NAV lending side, we think it's just a great time to be in NAV lending. Anytime you have velocity of transactions slow, yet you have vehicles that have paid a healthy multiple for businesses and need to continue to have add-on acquisitions. NAV lending is the tool that allows GPs to continue to extract value out of their portfolio.  So we feel like we've got a great pipeline. We are fundraising for our fourth NAV lending fund as we speak. And it does feel like both of those strategies were able to lean in. I think another thing that we've announced is we have launched a Fund I in our venture secondaries. I know at least one of our peers has had a lot of success in venture secondaries. It is a newer market. But clearly, given everything folks have read in the venture world, we do believe that venture secondaries can actually be a third arrow in our quiver as we lean into some of this dislocation. 
Operator: And the next question comes from Ken Worthington of JPMorgan. 
Kenneth Worthington: I wanted to keep dancing around fundraising here. Given we witnessed LPs with less capacity to invest in later 2022, why do you see fundraising more back-end loaded for 2023? And what are the risks that we see sort of a repeat that the LPs, again, don't have the capacity towards the end of the year and where you're hoping to raise these assets, your LPs just have to further delay sort of contributing to your product? 
Clark Webb: Yes, it's a great question. I'm thinking -- go ahead, Fritz. You take it. 
William Souder: Yes. I was just going to say, it is a great question. One of the things I think you'll see, because we have such long track records, as Clark pointed out, RCP is about to launch Fund XVIII. It's a slow-moving ship with LPs. We are in the queue with a lot of them. They're maybe concentrating right now in the early about funds that are closing at Q1. But we can see pretty good throughout the year of where we are in the queue. And most of LPs, I would say, have us slotted in for some of the vintages.  And so that's a little bit why you might see things in the later in the year. Most of our larger funds right now will probably be open throughout the calendar year of '23. And so that's one of the reasons why we're anticipating maybe a little stronger in the second half than in the first half, although we -- I think the first couple of months have been pretty good here. So we're excited. 
Clark Webb: Yes. And I would just add, P10, we are unique. Everyone thinks they're obviously unique, but we are pitching asset classes that historically are difficult to access and where we do feel like there's a great moat between our offering and other offerings. And so we are not -- many of our peers are able to raise an entire P10 in a week, but they're in large deep asset classes where there are multiple competitors. We really feel like we live in a world that, although smaller, we really do have more protected verticals. We really are the top player in these verticals. And to the extent that institutions are wanting to commit capital maybe for the first time to things like GP stakes and NAV lending, lower middle market private equity, venture capital, impact equity, venture credit, to the extent they are looking to commit those and those are more structural, less cyclical, we pop up as top of the list.  And I know we haven't talked about it, but we are still, we believe, early innings on cross-sell. We do feel like if we can get in front of allocators, we have a very unique product offering with a great track record that has invested through many cycles. You think about our venture credit. We hope next year to be in a position to launch Fund XI, that's a 40-year track record with a lot of different cycles in that. I think we're able to gain confidence of the LP when they see the types of returns we've generated through cycles. 
Kenneth Worthington: Great. And this is a little bit longer-term thinking, but the fee rate, the stepdown that you sort of highlighted in the prepared remarks, to 105 as WTI's 7, I think, rolls off or steps down. As you think about Fund VIII sort of fundraising, should we start to think about 2024 with that fee rate kind of popping back up towards that 110 level as Fund VIII sort of gets fully raised? Or are there offsets to there where it will maybe creep up a little bit but won't get back to that 110 to 112 range? 
Clark Webb: Yes. We're -- we certainly appreciate the question. And giving guidance is something we always want to give guidepost, not get too far in front of our skis. But you're right. When you think about our fund, I think you meant Fund XI on venture credit. So Fund XI, presuming that does turn on in 2024, that is a higher fee product. So all things being equal, that would raise that average fee.  That being said, we're constantly in the market discussing SMAs and things like that. And so you never know if we can land some other whales in the process. So what we like to do is give guidance for the year and then have additional puts and takes as the year progresses. But all things being equal, you're absolutely right, Fund XI is a much higher fee vehicle. And assuming that turns on in '24, that would raise the average fee rate.  Again, I think it's really instructive that we did talk about 2 components of our long-term model. One is our fee rate, and we talked about how, given the fact that we did bring on WTI and given the fact that our direct strategies are growing faster than our fund of funds, we are having upward pressure on our fee rate, which is a wonderful thing. At the same time, our EBITDA margins will come down a bit because our direct businesses typically have a slightly lower margin profile. I think you can glean that from the guidance we gave when we did the WTI acquisition. And so given we do have things like NAV lending, impact credit, GP stakes and venture credits that are growing faster than P10 as a whole, it's that balance where we certainly are getting paid more on every fee-paying dollar, but we also are giving up a little bit of margin.  And we feel like as we look at 2023, we talked about the AUM growth with reiterating our guidance. We've talked about in that 105 basis point range on fee rate and then that 51% to 52% on EBITDA margin. The good news is it produces double-digit growth in revenue, adjusted EPS and adjusted EBITDA. And we feel like that's going to stack up well against pretty much everyone. 
Operator: The next question comes from Mike Brown of KBW. 
Michael Brown: So in your prepared remarks you talked about the share buybacks. And given the stock's cheap valuation here, it does sound like the share repurchases will be perhaps a preferred capital allocation avenue here. But M&A is really core to P10's growth DNA. So how are you really balancing the two? What goes into that decision? And then in terms of acquisitions, how is that pipeline looking currently? 
Robert Alpert: Well, I want to make sure the stock buyback is not necessarily our preferred capital allocation. It was -- the market gave us an opportunity to take advantage of very cheap -- what we perceived is a very cheap and good use of our capital. And in buying us and buying ourselves back, we made a great return on incremental capital investment.  That being said, we have plenty of capacity and appetite for further partnerships with anyone out there. We have lots of conversations all the time. It takes a unique manager or strategy. One, we are focused on, as you well know, the lower middle market and middle market managers. They need to have superior long-term track records, and they need to not just be interested in taking money off the table -- they do that, they -- or selling out completely and going to the beach. So they really need to buy into and want to partner with us. And so that takes a unique -- we kiss a lot of frogs. And as you can see by our stable of strategies, we've been able to marry a lot of great folks. 
Michael Brown: I guess just a follow-up on that point. You certainly now have a really full suite of capabilities across middle market private equity, lower middle market private credit, venture equity, GP stakes, now venture debt. So what should we think about as perhaps the next step for inorganic growth? Are there certain capabilities that fit your unique niche focus that you kind of think could be attractive on the P10 platform here? Anything that you could kind of point us to? 
Robert Alpert: Well, there's always opportunity given the ability to scale credit and lots of unique niche ways in credit to deploy capital that wouldn't compete with what we already have today. So we're always looking at opportunities there.  Clearly, there's geographic expansion, whether to Europe or Asia or Latin America around any of the strategies that we have existing. And then probably, then there's -- it's clear we don't have real estate or infrastructure. Real estate if we were going to move into real estate, that strategy would probably -- a real estate type strategy would probably make the most sense or be able to fit in well, the easiest if it was a credit-related real estate strategy, but we are open and have lots of dialogues with lots of folks. So -- but it has to be great long-term track records with a great opportunity to continue to grow and bolt on to and partner with us, and we can help them just like they will help all of us. 
Operator: The next question comes from Ben Budish of Barclays. 
Benjamin Budish: I wanted to kind of follow up on Ken's question from earlier about 2024. I know you gave guidance for '23, but last year, you kind of gave us a combined '22, '23 fundraising guide. And I'm wondering given the sort of momentum expected in the back half of this year and your optimism around some of those areas, are there any kind of early thoughts you can give on what 2024 might look like? 
Clark Webb: I love that. This is a forward, forward guidance. This is great. Yes, so I think that other than saying we expect Fund XI from WTI in 2024 -- and you can see the cadence. If you look at our returns page which, again, we always encourage folks to go see, you can see kind of the differential in the cadence of launches. So you can kind of estimate when you think the next vintage is going to come about. But the only one we've specifically targeted is that Fund XI. I think beyond that, we're probably out kicking our coverage right now. Give us a couple of quarters, let us hit these targets first. And then I'm pretty sure we'll come out with something that talks about '24 and beyond. 
Benjamin Budish: Fair enough. And if I could maybe one more on just kind of guidance for this year. It seems like the EBITDA margin profile came in a bit lower than what we were expecting. Anything to call out there? I mean, you talked a little bit about sort of the mix shift and the sort of structurally lower margins at WTI. Is there anything else to keep in mind? And I guess kind of alongside that, is there any opportunity to increase WTI margins over time? Or are there sort of enough moving pieces that that's going to be hard to parse out on our end? 
Clark Webb: Yes. So it is absolutely related to the fact that we added a lower-margin business in WTI and the fact that our direct strategies are significantly outgrowing the business as a whole. And those do require more boots on the ground. We think that that's wonderful. These are high-fee paying, great strategies, and we think there's a lot of runway. But they are lower margin businesses. Do we think long term those margins can structurally increase? We certainly hope so. We think so. But as these businesses right now are growing faster than the enterprise as a whole, we think the 51% to 52% is the right way to look at it. And remember, WTI we don't expect to necessarily be in the market in '23. So we haven't talked about the incremental margins on a potential Fund XI as presumably that would hit 2024. 
Robert Alpert: We have better fee revenue on those products with lower margin, but the dollars continue to increase, and that's what we really care about. 
Operator: The next question comes from Chris Kotowski of Oppenheimer. 
Christoph Kotowski: Most of mine have been asked. I just wanted to follow up a little bit on the fee rate. I guess the prior guidance was always around 100 basis points, now is around 105. So presumably, the main difference is WTI, but you had -- historically, you had kind of indicated there was a bit of a seasonality with impact of boosting the fourth quarter and less in the early quarters of the year. Is that still there? Or is it by this point, given all that other strategies you've added so muted that it doesn't -- that there should be no seasonal pattern anymore? 
Amanda Coussens: Yes, there is still a seasonal pattern that we expect in the fourth quarter for the same reason. It's just not quite as impactful overall due to the additional strategies added. 
Christoph Kotowski: Okay. And then just -- actually never mind, I'm all set. 
Operator: The next question comes from John Campbell of Stephens. 
John Campbell: Congrats on a strong close to the year. And at the risk of beating a dead horse here, I wanted to touch one more on the fee rate. The 115 you guys reported, I think in the presentation, you highlighted maybe 110 bps as the pro forma metric. Is the difference there, is that just -- the $2.4 million, $2.5 million or so, is that catch-up fees? 
Clark Webb: Yes. So we had three different components in our Q4 fee rate. We certainly had catch-up fees, and I think we broke those out in the script, and we can come back to you on that as well. We had the WTI acquisition, which added that Fund VII which was still fee bank that rolls off at the beginning of this year. And so you'll see that, that's in that stepdowns and expirations. But that certainly helped us in Q4. Again, that steps down.  And then the last is we do have our higher fee products are growing faster. Thankfully, we think all of our products are going to be growing nicely. And so we don't want to overestimate what the direct strategies will be, but they did have a very -- when you look at our Q4 fee-paying AUM growth, we saw a lot of impact from our impact credit, our NAV lending and our GP stakes, and that certainly had some upward pressure. Amanda, do you want to take the stepdown -- just reiterate the stepdown? 
Amanda Coussens: Sorry, I was actually -- I was going to add for catch-up fees, I don't think we had to step to. $1.5 million for the quarter, John, and $4.8 million for the year. 
John Campbell: Okay. That's helpful. And then back on WTI, you guys -- you talked pretty highly in the past around their loss rates and then basically having somewhat a degree of consistency there across various cycles. So maybe if you guys could talk to what you're seeing today, what you guys may be expecting, there's -- any expectation for a deviation if things get a little bit more dicey. 
Clark Webb: Yes, I'm certainly not going to be marketing the fund, although when I talk about it, it may sound like it. It's really extraordinary that over multiple decades through multiple cycles, including a cycle like 2000, 2001, which was pretty deep in the venture world, that loss rate has been incredibly stable at around 5%. It goes from high 3s to kind of low 6s and 7s. And again, we think that's comparable to the U.S. high-yield loss index. Meanwhile, the targeted returns here are very different than the targeted returns at high yield. So we think this product can really play an interesting role in institutional credit.  Historically, the LP base has been much more venture-focused, but we think institutional credit allocators should really look at this because it does have an extraordinarily low loss profile given the return possibilities of the fund. And this cycle is no different thus far than any of the others. And again, that includes an awful cycle in 2000 and 2001. So we're very excited about this fund. 
Operator: And the next question comes from Michael Cyprys from Morgan Stanley. 
Michael Cyprys: If I could just piggyback on the venture question again. You talked at the time of the WTI acquisition about this being potentially a countercyclical product where you may have some firms that may not want to go back and raise equity right now. Just curious what you're seeing in the venture space at the moment. Is that thesis playing out? And also, what sort of -- what are you seeing on the demand side of this? Is this especially that people are still happy to allocate to you right now given what's happened to valuation over the past 12 months or so? 
Clark Webb: Yes. Great question. So I'm going to -- will answer it in a couple of different parts. In terms of the market, you absolutely have great venture-backed companies that rather than raise a down equity round are wanting to come and borrow from us. So that is a tailwind. You also -- it's interesting when you go through down cycles, the competitive environment can shift. We think it's shifting in our favor.  WTI has a 40-year reputation that's been earned in good times and bad. They're a partner of choice, and it's times like this where that's really highlighted. And so I do think we have shots on goal that most others don't see.  In terms of the LP demand, it is too early to tell. We are still deploying Fund X. We'll really get Fund XI going in the back half of the year in terms of preparing to launch that fund. So I would say too early to tell. That being said, given the opportunity set and given the 40-year history and given what we think are very unique risk-adjusted returns, we certainly can't wait to talk to folks about it. 
Operator: And with that, we will conclude today's question-and-answer session. I would now like to pass the conference back over to the management team for closing remarks. 
Robert Alpert: Thank you, everyone, for joining us. And any other follow-up questions or -- please reach out, and we'll talk to you next quarter. 
Operator: And with that, we will conclude today's conference call. Thank you for participating. You may now disconnect your line.